René Goehrum: Hello, and welcome to the Q3 and YTD 2022 Results Presentation for BioSyent Inc. My name is René Goehrum and I am the President and CEO of the company. I want to start today's presentation with a look at our sales, EBITDA and net income after tax for the quarter and you'll see on the slide presented the last three years for those periods of time. In the quarter, our sales were just under $6.8 million, representing a 2% increase to the year-ago quarter and I'd just like to break that down a little bit for you. You're aware that at the beginning of this year, we discontinued three products under two brands and that requires a little bit of explanation when comparing business performance. So our Canadian pharmaceutical business was down 1% for the quarter versus year ago without adjusting for discontinued products. With an adjustment for the discontinued products, our Canadian pharma business was up 7%. There were no shipments for our international pharmaceutical business in the third quarter. The quarter itself delivered just under $2 million of EBITDA and a net income after tax of $1.45 million. This represented the company's 49th consecutive profitable quarter. In the quarter, we saw a 28% increase in selling and marketing expense. This was planned and I've got some more comments on what to expect as we move forward and focus on not just the launch products that we've got in market now, but additional launch products coming to market. So when we look at the YTD nine-month basis, you can see that Canadian pharmaceutical business down 2% to the year ago, but up 4% when adjusted for the discontinued products. Overall, the business was at minus 4% versus year ago. So essentially $20.5 million in revenue and down slightly to the year ago. For perspective, that would have represented $1.4 million of revenue from discontinued products. So the growth products, our launch products have not yet replaced that, but are in the process of doing so at a considerably higher gross margin. I mentioned that we had shipped no international pharmaceutical orders on a YTD basis. That business is down 57% and that you can see our legacy business on a YTD basis, performing well to September 30. So, one thing I'd like you to keep in mind as you look at both revenue performance and profitability, is that we are in the process of preparing two new products for launch. I'm going to speak about those in a couple of minutes, but we saw our investments increase in selling and marketing. We expect that to continue into the fourth quarter. We're also investing in G&A to support the growth in the business and we expect that to have a somewhat concentrated effect on earnings in the fourth quarter this year. So how does this performance then translate into earnings per share? In the third quarter, we earned $0.12 per share on a diluted basis. On a trailing 12-month September 30, that summed up to $0.49 per share, comparing favorably to the previous period of $0.39. So let's do a deeper dive into brands and business units in terms of performance. I'll focus to start with the quarter performance. You can see, as I mentioned a few moments ago, Canadian pharma business in the quarter down 1% in dollars. This was made up of FeraMAX units growing, RepaGyn units growing, Cathejell essentially flat. We had some supply chain challenges with Cathejell and had to put all of our customers on allocation for a period of time and we've resolved that bottleneck with production with our manufacturing partner and are back kind of shipping full off allocation and you can see the Tibella and Combogesic are two launch products had strong performance in the quarter and I think the net-net is that the removal of Aguettant System and Cysview sales are what has impacted top line performance for the quarter. As I mentioned, our international business had $0 of shipments in the quarter. I'd just like to add that we do have a few shipments that are going out in the fourth quarter of this year. So that's not going to be persisting into the fourth quarter, though we have had some challenges with that business. You'll see in the year ago period in January of 2021, we shipped a very large order and our partner was finishing the products. So they took unfinished products and had to do -- complete the manufacturing and packaging of that large order that they received. They've gone through that process. They had some bottlenecks and some challenges with production. Then they had some challenges with getting the price approved that they needed. So they started shipping now and we expect to see the movement on that product, but we see now that it's clear our international business is going to continue to perform in sporadic ways, not as consistent as we have seen with the Canadian pharmaceutical business. On a YTD basis, you see pretty well green performance measured in units, strong double-digit growth for our launch products Tibella and Combogesic. They are both still performing below our own expectation. I've been talking to you sharing with you our challenges with respect to a COVID business environment practices and the practice of medicine, primary care medicine, where we spend a lot of our time and also with OB-GYN specialists has changed somewhat through COVID. I would say that it's not clear whether it's going back to the way it was. You doubtless have heard of many challenges of primary care physicians have had and I think that the bottleneck and the challenge for them to see their patients in person for them to do their consults in person as opposed to via telephone is an ongoing challenge for us and uniquely impacts Tibella and Combogesic in different ways. Combogesic is very much a sample-driven business and so as part of the challenge for us has been getting the sample to the doctor in a clinic that is seeing patients at the same volume that we are accustomed to. That has not been the case with Tibella. Specialists tell us that they like to initiate menopause hormone therapy or switch MHTs after they have seen the patient in person, but the flow of in-person traffic has definitely been impacted by COVID. We have been reporting that that has improved quarter-over-quarter. It's continued, I would say that in the third quarter was the best it's been since COVID first began, but we are seeing differences across the country in Canada in terms of how open the doctor's offices are with restrictions and recording this after the Chief Public Health Officer in Ontario has recommended masks. So we don't know going forward what impact that that will have on our business. So though the numbers are green, we're still not complacent and certainly those products are performing behind what we expect. As you know, FeraMAX has been a big part of our business, our growth. It's been a growth driver for us for good reason. It's an excellent product. It's trusted by healthcare professionals for seven consecutive years. It's been the number one recommended oral iron supplement in Canada, amongst both pharmacists and physicians, and we see this as an excellent platform to further innovate and bring new products and services to Canadians and healthcare practitioners and improving the iron health of Canadians. So a couple of years ago, we made some formulation changes to FeraMAX. We make changes to FeraMAX 150 with those new formulations. FeraMAX powder was re-branded, FeraMAX Pd Powder 15. Those products are now in market, on shelf and fully integrated. We had substantial growth in 2021. We've consolidated that growth in the market in 2022 and we see that platform now as a strong jumping off point for further lifecycle initiatives to both increase the revenue from the FeraMAX brand and diversifying that revenue on to multiple products. So we've got a new FeraMAX product that has been in development. It's now in the production queue and we expect to start shipping that product in 2023. It will start generating revenue by Q2, perhaps earlier in the feedback that we've got so far from healthcare practitioners, from pharmacists and in fact, from patients has been excellent and we're quite optimistic that this is going to bring us into new territory to allow us to expand the market and gain share and further revenue growth for FeraMAX. But in addition to FeraMAX lifecycle strategy, spinning out new product opportunities for us, we still have more growth to come from Tibella and Combogesic. We have a new women's health product that's been approved by Health Canada. That product is in the production queue as well. The feedback that we've been getting from healthcare professionals has been strong there as well and we expect to start shipping that product in the second quarter of next year. So this has led us to making further investments in our field sales force or marketing resources and as I mentioned, the impacts are that we are taking our operating expenses up as we move into Q4 and into next year. These OpEx investments are in people, process and structure to support a $40 million to $50 million plus business and get ourselves ready for this next accentuated phase of growth. So this steady business performance, I mentioned 49 consecutive profitable quarters has left us in a strong position, certainly given the economic environment, the macro environment that we're in. We've got a strong balance sheet with no debt. You can see on the slide that our cash position has been growing, although our cash of just under $28 million dollars on September 30, it didn't have as great a growth versus the prior 12-month period and that is simply because we have been expanding more on our NCIB. So we've been buying back shares in the market. I've got some information on that in a couple of slides and you can see that our cash position obviously has been impacted by the investment in NCIB. The business is strong and performing and cash generating and we have a capital-light business model and our execution of our strategy has driven our return on equity to 19%. So one of the questions that I feel with some frequency is René, if your balance sheet is strong, what are you going to do with the cash that you have? And the best way to answer that is to ensure that there's a clear understanding of how we link our capital allocation to strategy. Our strategy has three core themes. One is growth that is revenue growth and profitability growth. The second is to diversify our revenue streams on multiple products and then finally, around corporate longevity, that is to make decisions with the long term in mind. It is our intention that BioSyent is a thriving, growing, dynamic business many years into the future. So with a cash position of $28 million and a capital-light business model that continues to be a cash generator, that's left us in a position where we've initiated return of capital to shareholders. So about four years ago, in December of 2018, we initiated a share buyback program. That buyback program this year has repurchased almost 421,000 shares. As of November 14, that's about $3.3 million. Just this year, you'll recall I've mentioned on a couple of slides ago, that was $3.7 million in the 12 months ending September 30. So with that decided focus on growing our revenue, on diversifying through launching new products and in-licensing new assets, building infrastructure, people and process to support a significantly larger business, we're still left in the position where we have a strong cash position and the board after adopting, a dividend policy earlier this year announced on October 12 that the company is going to initiate a quarterly dividend starting in December. So shareholders of record on November 30, will receive $0.04 a share dividend in December. So let's take a quick look back at our NCIB. As I said, we initiated in December of 2018 at the time we had almost 14.7 million shares fully diluted outstanding, we have repurchased just under 2.2 million shares and now our fully diluted outstanding is just over 12.5 million shares. So this represents a 15% reduction in our fully diluted shares outstanding in those just short of four years, just over $14 million of capital deployed at an average price of $6.49 a share. One of the key ways that we measure productivity of this investment activity is to look at the effect of with and without NCIB and the impact on our earnings per share. So I mentioned a few slides ago that we are in $0.49 in the trailing 12 months, that would have been $0.42 if we had not been buying back shares over the last four years. So that's a 17% benefit to the existing shareholders, those that continue to owner or are owners now. And it's important to mention as well here that we have not issued any new stock options since 2019 and so we're not engaged in shareholder-friendly activity on the one side and then being inconsistent with that intention on the other. So we have replaced stock options, certainly paused our stock options and replaced it with restricted share units, which are fully funded with shares that we purchased in the open market and hold in trust. So the net effect of that is a very positive, when we look at how our business is performing on a per share basis. So we're investing in the future. We're generating cash, a significant investment in the future, or in-licensing activity is robust. The markets are gyrating. As I know that you're all aware, this is just a quick snapshot of our position as of November 14, just to draw your tension that we've got just over 241,000 shares that we hold in treasury for RSUs and trust and on a fully diluted basis, we're just over 12.5 million shares outstanding. We think the company is well positioned. We've got growth assets. We are leveraging those growth assets in the marketplace. We have a strong balance sheet to invest in growth. We have new products coming. We have yet another FeraMAX product, which I haven't spent any time talking about yet. Not just yet today, but yet period that we'll see market after 2023. So we have -- we have revenue growth coming against our diversification strategy and we look forward to continuing to focus on growing a dynamic and thriving business with multiple revenue streams and we look forward to sharing our progress with you in future quarterly reports. Thank you.
End of Q&A: